Operator: Good afternoon, and thank you for participating on today's third quarter 2025 earnings conference call and webcast for Barfresh Group. Joining us today is Barfresh Food Group's Founder and CEO, Riccardo Delle Coste; and Barfresh Food Group's CFO, Lisa Roger. Following our prepared remarks, we will open the call for your questions. The discussion today will include forward-looking statements. Except for historical information herein, matters set forth on this call are forward-looking within the meaning of the safe harbor provisions of the Private Securities Litigation Reform Act of 1995, including statements about the company's commercial progress, success of its strategic relationships and projections of future financial performance. These forward-looking statements are identified by the use of words such as grow, expand, anticipate, intend, estimate, believe, expect, plan, should, hypothetical, potential, forecast and project, continue, could, may, predict and will and variations of such words and similar expressions are intended to identify such forward-looking statements. All statements other than the statements of historical fact that address activities, events or developments that the company believes or anticipates will or may occur in the future are forward-looking statements. These statements are based on certain assumptions made based on experience, expected future developments and other factors that the company believes are appropriate under the circumstances. Such statements are subject to a number of assumptions, risks and uncertainties, many of which are beyond the control of the company. Should one or more of these risks or uncertainties materialize or should underlying assumptions prove incorrect, actual results may vary materially from those indicated or anticipated by such forward-looking statements. Accordingly, investors are cautioned not to place undue reliance on these forward-looking statements, which speak only as of the date they are made. The contents of this call should be considered in conjunction with the company's recent filings with the Securities and Exchange Commission, including its annual report on Form 10-K and in the quarterly reports on Form 10-Q and current reports on Form 8-K, including risk factors and cautionary statements contained therein. Furthermore, the company expressly disclaims any current intention to update publicly any forward-looking statements after this call, whether as a result of new information, future events, changes in assumptions or otherwise. In order to aid in the understanding of the company's business performance, the company is also presenting certain non-GAAP measures, including adjusted gross profit, EBITDA, adjusted EBITDA, which are reconciled in tables in the business update release to the most comparable GAAP measures and certain calculations based on its results, including gross margin and adjusted gross margin. The reconciling items are nonoperational or noncash costs, including stock compensation and other nonrecurring costs, such as those associated with the product withdrawal, the related dispute and certain manufacturing relocation costs and acquisition-related expenses. Management believes that adjusted gross profit, EBITDA and adjusted EBITDA provide useful information to the investor because they are directly reflective of the performance of the company. Now I will turn the call over to the CEO of Barfresh Food Group, Mr. Riccardo Delle Coste. Please go ahead, sir.
Riccardo Delle Coste: Good afternoon, everyone, and thank you for joining us for our third quarter 2025 earnings call. I'm extremely pleased to report that the third quarter marked a transformational period for Barfresh as we delivered our highest quarterly revenue in the company history, positive adjusted EBITDA and completed a strategic acquisition that fundamentally enhances our business model and long-term growth trajectory. Before I discuss our quarterly results, I want to highlight a pivotal development that occurred immediately following the quarter. the completion of our acquisition of Arps Dairy in early October. This acquisition fundamentally changes our business model, providing us with own manufacturing capabilities that will drive top line growth. Arps Dairy brings us an operational 15,000 square foot processing facility along with a 44,000 square foot state-of-the-art manufacturing facility in Defiance, Ohio, that is nearing completion and expected to be fully operational in 2026. We have already commenced production at the existing facility, and I'm pleased to report that the integration is proceeding smoothly with immediate benefits from enhanced supply chain control and operational efficiency. Now turning to our third quarter results. Revenue for the third quarter was $4.2 million, representing 16% year-over-year growth. This record performance was driven by several factors: improved production consistency from our co-manufacturing partners, a successful start of the '25-'26 school year with expanded distribution and continued momentum with our Pop & Go 100% Juice Freeze Pops in the lunch daypart. We achieved this even though we faced additional manufacturing challenges and start-up issues for our Juice Freeze Pops at one of our co-packers. The manufacturing capacity issues that constrained our first half performance are expected to be fully resolved by the end of the fourth quarter. Our 2 smoothie bottle co-manufacturing partners are now operating with improved consistency and the inventory we built over the summer enabled us to service customer demand throughout the critical back-to-school period. We are in the process of bringing back customers who had temporarily removed our products due to spring supply constraints, with many reintroductions occurring in the fourth quarter. The 2025-2026 school year bidding process has concluded with positive results. We've seen strong uptake across our existing Twist & Go portfolio, and our Pop & Go 100% Juice Freeze Pops have gained meaningful traction with several large school districts, and we expect to add additional schools during the fourth quarter. The Pop & Go product specifically addresses the lunch daypart, a significantly larger market opportunity than breakfast and early adoption rates are encouraging. We remain at only approximately 5% market penetration in the education channel overall, which continues to represent substantial runway for growth. Most significantly, I'm pleased to report that we achieved positive adjusted EBITDA in the third quarter, a major milestone that demonstrates the operational momentum we're building and validates our path to profitability. With the operational improvements we achieved in the first half of this year, combined with the transformational Arps Dairy acquisition, we raised our fiscal year 2025 revenue guidance back in September to a range of $14.5 million to $15.5 million, representing a 36% to 46% year-over-year growth. More significantly, we issued preliminary fiscal year 2026 revenue guidance of $30 million to $35 million, representing a 126% increase compared to the high end of our fiscal year 2025 guidance. This substantial growth reflects the full year contribution from Arps Dairy, continued market penetration in the education channel and the expansion of our Pop & Go product line. I'll now turn the call over to our CFO, Lisa Roger, for a detailed financial review.
Lisa Roger: Thank you, Riccardo. Let me walk you through our third quarter financial results in detail. Revenue for the third quarter of 2025 increased to $4.2 million, representing our highest quarterly revenue in company history and 16% year-over-year growth. This record performance was driven by the consistent production capabilities we established through our co-manufacturing partnerships, enabling us to meet increased customer demand during the critical back-to-school period. Our operational improvements are reflected in our margin performance. Gross margin for the third quarter of 2025 improved to 37% compared to 31% in the first half of 2025. The improvement reflects better operational efficiency as our co-manufacturers reached full capability and more favorable product mix with higher-margin products representing a larger portion of sales and reflects a return in performance to the adjusted gross margin of 38% achieved in the third quarter of 2024. Looking forward, our recent Arps Dairy acquisition will create some near-term margin dynamics. We're transitioning Barfresh production to the new facility to capture long-term operational efficiencies and scale benefits, which will involve typical start-up and implementation costs that will temporarily impact Barfresh margins. Additionally, we're continuing Arps Dairy's existing milk processing business, which operate at different margin profiles than our core business, but provides stable cash flow and diversification. These are strategic investments in our long-term growth. We expect margin recovery once the Barfresh transition is complete and we fully optimize our expanded manufacturing capabilities. Operating expenses remained well controlled as we scaled revenue. Selling, marketing and distribution expenses were $941,000 or 22% of revenue compared to $990,000 or 27% of revenue in the third quarter of 2024. G&A expenses for the third quarter of 2025 were $844,000 compared to $705,000 in the same period last year. The year-over-year increase was primarily due to $214,000 in acquisition-related expenses associated with the Arps Dairy transaction. Excluding these onetime costs, G&A would have been down 11% year-over-year. Net loss for the third quarter of 2025 improved to $290,000 compared to a net loss of $513,000 in the third quarter of 2024. The improvement was driven by increase in revenue and gross margin, partially offset by acquisition-related expenses. Adjusted EBITDA for the third quarter was a gain of approximately $153,000, representing substantial improvement from the prior year period loss of approximately $124,000 and demonstrating the operational momentum we're building. We expect to achieve positive adjusted EBITDA in fiscal year 2026 as we realize the full benefits of our integrated manufacturing model. Turning to our balance sheet. As of September 30, 2025, we had approximately $4.4 million of cash and accounts receivable and approximately $1.1 million of inventory on our balance sheet. The Arps Dairy acquisition was funded through our existing credit facility, and we continue to manage our liquidity through various measures, including receivables financing and our credit facilities. With the completion of the Arps Dairy acquisition, we have significantly enhanced our balance sheet with valuable manufacturing assets, including an operational 15,000 square foot processing facility and a 44,000 square foot state-of-the-art manufacturing facility that will be completed in 2026. Additionally, the $2.3 million government grant that has been preliminarily approved for Arps Dairy will support the construction and equipment needs for the expanded facility. Now I will turn the call back to Riccardo for closing remarks.
Riccardo Delle Coste: Thank you, Lisa. The third quarter of 2025 marks an inflection point for Barfresh. We have not only delivered record financial performance and achieved positive adjusted EBITDA, but we have also positioned the company for unprecedented growth through our strategic acquisition of Arps Dairy. The Arps Dairy acquisition provides us with several strategic advantages, direct control over a significant portion of our production capacity, enhanced operational efficiency, flexibility to innovate and scale new products more rapidly and reduce dependency on third-party co-manufacturers, which has been a source of operational challenges and revenue limitations. As we look ahead, we have multiple drivers of growth, our own manufacturing capabilities through Arps Dairy, expanded capacity reaching significant scale with our new facility and continued growth in our core education channel. The integrated manufacturing model we are building through Arps Dairy will enable us to pursue opportunities with improved economics and operational control. The guidance we've reiterated today of $14.5 million to $15.5 million for fiscal year 2025 and $30 million to $35 million for fiscal year 2026 reflects the transformational nature of our strategic initiatives and our confidence in executing our growth plan. More importantly, we expect the Arps Dairy acquisition to be accretive to earnings in fiscal year 2026, positioning us to deliver top line growth and bottom line profitability as we scale. We are building a scalable, profitable business model that positions us to capitalize on significant market opportunities while delivering sustainable long-term value creation for our shareholders. The operational improvements we've achieved, combined with the successful integration now underway with Arps Dairy position Barfresh for a breakthrough period of growth and profitability. We look forward to updating you all on our progress as we close out fiscal year 2025 and enter what we expect to be an exceptional growth year in fiscal year 2026. And with that, I would like to open up the line for questions. Operator?
Operator: [Operator Instructions] Our first question comes from the line of Nicholas Sherwood with Maxim.
Nicholas Sherwood: My first question is, what have you been doing to build trust with some of those schools that you had to pull product from or you weren't able to deliver product to last school year and that you're reintroducing your products to this fourth quarter?
Riccardo Delle Coste: Yes. So we've been staying in close contact with our customers and really communicating where things are at. That's the benefit of being able to have a broad broker network and our own sales team and the ability to let them know that we've just gone into our own manufacturing facilities and just building the relationships really to make them aware that we have got product coming down the pipe. And that's really why we've been going back out to them and letting them know now that we've got manufacturing coming on board, they can start putting us back on their menus, and we've got a lot of that happening now in Q4 and more so even into Q1 of next year.
Nicholas Sherwood: Okay. So when you talk about the Q4 to Q1 switchover, so is it almost like a pilot trial in this fourth quarter and then you'll probably properly kind of be reentering the school districts in the first quarter with like full steam ahead?
Riccardo Delle Coste: You mean in terms of the customer sales process or in terms of the production at the new facility?
Nicholas Sherwood: Yes, sales to the schools.
Riccardo Delle Coste: Yes. I mean when we go back to the schools and they put us back on the menu, the sales go back immediately. We don't need to retrial the product. So it's more just about communicating when we have product available and then putting it back on the menu. There's no need for trials to start over again. The sales process doesn't start over again. It's more just about them placing the orders and it goes back on the menu and the sales basically start immediately from when they place the orders.
Nicholas Sherwood: Okay. Understood. And then talking about those manufacturing facilities, can you give some detail on your CapEx expectations as you retrofit those facilities for your products? And just kind of like what that entails and how long you expect that to take?
Riccardo Delle Coste: Yes. So we're working through that now. We have a -- we've already been approved for -- preliminarily approved for a $2.3 million government grant. So we expect that to go towards the remainder of the fit-out for the construction of the new facility. We also have the existing facility that is operational where we're making product.
Nicholas Sherwood: Okay. So there wasn't any major -- like there wasn't any equipment that was needed to change their equipment, like any parts to change your stuff, okay?
Riccardo Delle Coste: Yes, there's a complete operational facility already in place. The plan is to move into the new facility out of the old facility. So a lot of the equipment would be going over. And if we need some new pieces to be upgraded as we move into the new facility, we'll address those at the time, and we may look at how we finance those at that point in time.
Operator: [Operator Instructions] There appears to be no further questions. This now concludes the question-and-answer session. Ladies and gentlemen, thank you for your participation. This does conclude today's teleconference. You may disconnect your lines, and have a wonderful day.